Unknown Executive: Good morning, everyone. Thank you for joining us today for those who are here in person and for those who are connected online. We are ready to start our full year results presentation. I will hand over to Ivan, then Mauricio and after the presentation, we will move into Q&A. Ivan?
Iván Herrera: [Audio Gap] fully integrated in how we run and grow our business. As global demand for copper strengthens, we were able to look forward to 2026 with a fully financed growth pipeline in construction, having passed peak group level CapEx and a clear pathway to deliver long-term value for all our stakeholders. So I will start as we normally do, sharing with you our safety results. We continue to lead with a safety-first approach delivering another fatality-free year and maintaining key metrics ahead of industry benchmarks. A specific focus for us last year was on what we call high potential incidents as we look to continually develop our understanding of safety-related risks. In 2025, we recorded our lowest number of high potential incidents, reflecting the strength of our culture and our commitment to safe, reliable operations. And across our construction program of major projects, we also achieved safety results in line with the group level outcomes despite now having 18,000 temporary contractors present across our major projects. So I would say, in balance, a very good safety result, which is our #1 priority. And we've been fatality-free now for over 4 years and expect to continue in that path. Now let's talk about copper. Our investment case remains firmly rooted in our position as a leading pure-play copper producer. And we know for some time, and this is likely to continue, copper will remain the metal of preference of choice. We have attractive attributes. We operate in an established jurisdiction, and I will talk more about what that means and what are the advantages of having a very well-known jurisdiction for mining with margins towards the top end of our pure-play peer group, and we have a clear pathway for 30% growth through a pipeline that is in construction today. We have built solid foundations from our strong balance sheet and dividend policy through the resilience of our operating model and leadership on sustainability, all of which are underpinned by our purpose, which is developing mining for a better future. Reflecting now on 2025 more specifically, we delivered another year of strong financial performance in an uncertain world with higher sales and disciplined cost control, leading to wider margins and record EBITDA. In parallel, we advanced the delivery of our growth program and our sustainability priorities continue to be fully embedded within our strategy. And finally, we have maintained a disciplined approach to capital allocation with a final dividend recommended in line with our policy, which has been applied consistently and without interruption for over a decade with a total dividend for 2025, representing 50% of earnings, reflecting our commitment to delivering sustainable returns. We have a strong platform to deliver growth. Our large-scale and high-quality assets enable us to benefit from low net cash costs driven by strong cost control and byproduct credits. Through this, we can remain competitive through the cycle while also strengthening margins as new projects come online. As shown on the right, our 2 large-scale mining districts continue to provide significant long-term optionality with substantial mineral resources endowed at both Los Pelambres and Centinela, which supports the potential for further growth for the long term. The construction projects underway, which will deliver the 30% production increase remain on time and on budget. Let me say a few words about Chile. Chile remains one of the most important copper jurisdictions, holding the #1 spot for global supply for many years. And during this time, the country has developed a wealth of experience and talent associated with holding this position for so long. Looking back at 2025, the country approved modernizing reforms that are aimed at reducing permitting time line, which will continue to strengthen the overall competitiveness of Chile's mining sector. Furthermore, we're also seeing ongoing discussions and measures to improve the investment environment, including proposals to reduce the corporate tax rate for businesses. With a new 4-year presidential term beginning next month, the policy focus is on promoting growth including regulatory adjustments that could be implemented at the executive level, which is a further demonstration as to why Chile is a leading destination for copper investment. Sustainability. We operate as a responsible copper producer. This has been an attribute that we've been building over the years with sustainability fully integrated into our strategy, shaping how we operate, invest and grow the business over the long term. The starting point of sustainability, as we discussed earlier, is our continuing safety performance, which was, again, very solid and robust in 2025. We also made strong progress in pivoting our water use, another very sensitive input for mining in Chile, expanding the Los Pelambres desalination plant and increasing the share of seawater and recirculating water across our sites. As we further strengthen our workforce development with female representation reaching 30%, we continue to recruit and develop the best talent in the mining industry. We're building on a multiyear process of successful community engagement at Zaldivar with approval of the EIA in 2025 to extend the life of the mine. And this is a demonstration of our business on how business can work alongside communities over the long term. So the copper market fundamentals continue to strengthen. As shown here, demand is forecast to grow by around 2% per year through 2035, driven by a need to improve energy security, further electrification, digitalization and the accelerating shift to adopt modern technologies. At the same time, we know that supply remains constrained with global output limited by rate decline, longer project lead times, rising capital requirements and elevated global disruption rates. Taken together, these factors point to a tightening market over the medium term. Against this backdrop, Antofagasta is differentiated by having fully funded projects under construction with projects in multiple stages of development as well as a longer-term pipeline of options, and we'll revisit this later in the presentation. Thank you. With that as an introduction, I'd like to hand over to Mauricio, who will review our specific financial performance for 2025 that we have released today. Mauricio?
Mauricio Ortiz: Thank you, Ivan. Well, good morning to everyone, and thank you for joining us today. Today, we have announced record financial performance for 2025, which is a demonstration of the strong foundations of our business. Our consistent financial performance give us flexibility and resilience in our ability to continue allocating capital in a manner consistent with our purpose, which is maximize long-term value. Turning to our growth program illustrated here by Centinela ongoing expansion. Our financial performance enable us to continue with confidence. The growth program is fully funded and will sustain the long-term competitiveness of our operations. And importantly, our performance today protects our future ability to create sustainable value for all our stakeholders. This is supported by 2 main factors: first, a balanced approach to both dividends and funding future growth; and second, maintaining the financial strength to grow in a way that is both responsible and return focused. In 2025, we delivered a strong growth with revenue increasing by 30% to $8.6 billion, supported by higher sales volume and a favorable market environment. Through disciplined cost control, this revenue growth translated into a material uplift in profitability. EBITDA rose 52% to a record of $5.2 billion, and our EBITDA margins expanded to 60%, keeping us toward the top end of our copper focused peer group. And importantly, our underlying earnings strength in 2025 translated into a robust operating cash flow up by -- up 30% to $4.3 billion. This enabled us to, first, maintain our balance sheet strength; second, continue financing our business from a position of confidence; and third, support our shareholder returns. In parallel, we kept our net debt-to-EBITDA ratio broadly flat year-on-year, even as we move through peak Group-level CapEx in 2025 for our current phase of growth projects. Moving to our operations. Copper production was in line year-on-year with grades and recoveries compensating for lower throughputs. As a mining company, cost discipline is key as a global copper production faced increasing technical challenges and cost inflation, in 2025, we delivered pre-credit costs in line year-on-year and 5-year low for net cost with our largest operation, Los Pelambres and Centinela net cost at $0.82 and $0.75 per pound, respectively. As shown in the waterfall chart, this cost performance was driven by a combination of consistent operations, stronger byproduct credits and cost control initiatives, such as our competitiveness program, which once again achieved its annual target with $0.08 per pound benefit this year. More broadly, it's also worth highlighting that we were once again able to balance the rising external cost pressures with a decrease in controllable costs. Taken together, these results demonstrate the resilience of our operating model, which helps us to absorb variability and the strength of our margins give us the flexibility to continue supporting our ongoing growth program. Our earnings performance in 2025 reflects the quality of our portfolio with EBITDA increasing by 52% to a record level, supported by a combination of higher realized pricing for copper and gold, improved sales volume and the flow-through of our disciplined cost control. As you can see in the chart, the main factors here were pricing and volumes with other factors contributing relatively little variation year-on-year. Finally, as I mentioned before, with an EBITDA margin of 60%, we remain at the very top end of our peer group, which has been the case for a number of years now. Our balance sheet remains a core strength of the business, supported by strong cash generation and disciplined capital deployment through the year, allowing us to fund major construction activity while maintaining leverage broadly in line year-on-year. Alongside the strong performance of our subsidiaries, delivering more than $5 billion of EBITDA and the progress in our growth programs, there were tricky factors. First, working capital increased as we flagged in our Q4 announcement in January, reflecting higher shipment in transit and higher pricing at the year-end. Second, driven by higher profit before tax, tax payments were higher, resulting in a full year effective tax rate of 36%. And dividend paid during the year amounted to $760 million, up from the $557 million in 2024. Taken together, these factors underpin our conservative and stable net debt to EBITDA position despite a significant investment and which helps us to retain our investment-grade credit rating. Finally, let's recap our capital allocation framework and its central role in all our financial decisions. Our capital allocation framework is straightforward and consistent and has served us well for a number of years. Our consistency is made possible through our disciplined capital approach, and it's helped us to preserve our investment credit rating, support our growth plans and more importantly, create long-term value for all stakeholders. If approved, we will double our -- if approved, we will double our total dividends for the year to $0.646 per share with more than $3 billion paid to shareholders in the past 5 years, which is a reflection of the strength of our business and our ability to create long-term value and deliver in the short term. And with rooms, cash and fully funded growth plans, we can invest with confidence and return excess cash when conditions allow. Thank you. I will now hand it over to Ivan to take us through for the rest of the presentation.
Iván Herrera: Thank you. So I'm going to turn now to our growth pipeline. As we look at our growth agenda, we remain focused on building scale and resilience at our mining districts with a portfolio of brownfield and greenfield projects that can support long-term copper production. Our strategy is underpinned by a fully financed multiyear construction program. The Centinela concentrator -- second concentrator project and Los Pelambres growth enabling projects are designed to lift throughput, enhance operating flexibility and support the Group's next phase of growth. Both projects remain on time and on budget. Beyond these 2 flagship projects, we have a pipeline of near-term debottlenecking alternatives, further brownfield growth and resource optimization and longer-dated growth options, all of which are in highly prospective regions. You will recall this graph from -- is one that we used at the site visit. So it provides a multiyear outlook. And the only update that we've included this time is the inclusion of our 2025 actual results. So Los Pelambres is the first component of our near-term growth sequence, which is shown here. We are expecting full year grades to rise to approximately 0.6% copper, which is a level more in line to historical grades at Los Pelambres, and this follows a 2-year period of lower grades in '24 and '25, and this growth is simply a feature of the mine plan and therefore, requires no capital investment. On the other hand, and in addition, at Centinela, the second concentrator remains the largest component of our near-term growth, providing around 2/3 of the expected increase with construction set to finish in 2027, ramp-up in 2028 and '29 to, therefore, be our first full year of production at full capacity. Furthermore, it should also be noted that this project will add growth both in respect of volumes and margins since it will double Centinela's output of both gold and molybdenum, reinforcing the quality of Centinela's growth. Here, now some pictures of the second concentrator, which continues to advance on track and on budget, and we are pleased to welcome a few of you to see it in person in November. Recent work has focused on key mechanical installations, including major components for the primary crusher as can be seen in one of the pictures and further work installing overland conveyors. We've also made progress in the concentrator with the installation of ancillary equipment for the ball mills and HPGRs as shown here in the picture to the right. Additionally, we've made steady progress with earthworks at the tailings dam and electrical installations across the site, which we know were very critical infrastructures. As we head into the coming period, our focus remains on the mechanical assembly of various pieces of equipment and initial preparations for commissioning in 2027. In the case of Los Pelambres, work has also continued on track and on budget. Work continued in several separated areas at what we call Los Pelambres growth enabling projects. Excavation and pipeline continues along the 120-kilometer route of the new concentrate pipeline and work at the desalination plant is focused on the structural and mechanical installations. And you can see both here in the pictures, the concentrate line on the left and the desalination plant expansion on the right. Looking ahead, our priority in the coming period is to complete key civil works and continue the pipeline and electrical ties, maintaining momentum as we move through this next phase of construction, also for commissioning in 2027. In a more broader context, and beyond our major construction projects, a wider pipeline gives us significant optionality for future growth with projects spanning multiple stages of development, which, as we discussed earlier, is in contrast to the wider market. We rigorously assess all opportunities against the capital allocation framework aiming to identify lower risk options with attractive IRRs and lower capital intensities. As a result, we have a range of greenfield and brownfield opportunities in our portfolio. For example, within the pipeline, we have our projects in construction, which are brownfield and therefore, lower risk and less capital intensive and which have just shown progress that we are achieving in those. We also have further optionality in the Centinela District to extend the mine life of our SX-EW operations that we're currently looking at. The result of this is an attractive range of alternatives with a focus on brownfield projects, but our pipeline also includes some highly prospective greenfield projects, some of which are shown here, Cachorro and Encierro and other greenfield opportunities. Elsewhere, we have a broad footprint of projects and investments, giving us good exposure to prospective geology in established mining jurisdictions. Cachorro, as I referred to earlier, remains one of the most promising early-stage discoveries in Chile with a high-grade resource and the next phase of exploration work is now fully underway following the DIA approval received in late 2025, which will allow us essentially to do more drilling and eventually the construction of an added to be able to get the full characterization and early design of what would be a mine exploitation sequence. At Twin Metals in the United States, we have strategic optionality for the group with a significant resource of 2.5 billion tonnes, which contain critical minerals of copper, nickel and PGMs. And with the changing landscape and policy environment in the U.S., we do expect that we will be able to make some progress in Twin Metals in the near term. Together, these assets form an important part of our future growth platform with the potential to support our growth agenda well beyond the current construction cycle. I want to refer now briefly to innovation. This is something that we've talked with many of you as we visited our sites in Chile earlier or later last year. We see innovation as a key enabler for maintaining our competitiveness, adding resilience and supporting our growth. We continue to advance work on Cuprochlor-T as a case of strategic innovation, a technology designed to unlock primary sulfide leaching, which has the potential to extend mine lives and create new production options. In 2026, and after several years of development, we have in construction now an industrial scale heap leach pad, including an integrated -- fully integrated temperature solution, which will provide updated data and variables such as CapEx, operating cost and scalability, which are an important step in making the technology available. Examples of operational innovation in another field, which is very relevant and critical is in material movement as we try to move material from satellite deposits to our existing infrastructure. And here, we're looking at future haulage solution such as road train, which we will test now in 2026 and light rail transport. If successful, this could allow us to operate at greater scale, improve productivity and support growth at increasingly large and complex mining districts, Centinela being one of them and Centinela oxides being one which is particularly attractive as we could move oxides to our existing infrastructure. And taken together, innovation is then directly supporting growth, enabling us to develop options within our portfolio and helping build long-term value. So finally, and to recap our investment case, you've seen this graph before. We have a clear approach as a pure-play copper producer, we're well positioned as copper plays an increasingly important role in modern society. We have high-quality, long-life assets in some of the world's best copper districts supported by a strong growth pipeline with a focus on lower risk brownfield expansions, which we are executing. These are fully financed near-term growth programs and are supported by a strong balance sheet, which gives us the resilience and flexibility through the cycle that we are witnessing now. And we're delivering this growth in line with the purpose, which is delivering mining for a better future, creating value that is sustainable, disciplined and built to last. So with that, having shared the results with you, you've seen our announcement with the specific numbers. We are happy now to move to Q&A.
Daniel Major: Dan Major from UBS. I guess the first question, just thinking about the balance sheet and capital allocation a little bit more. You've got plus $4 billion of cash on the balance sheet. Most of your debt is well termed out. If we think about where the business is going to be in 12 months' time, CapEx should be coming down into 2027. When we think about capital return, should we look at that cash position more than the delta in net debt because it feels that that's a pretty large cash position. And what I'm alluding to, should we be assuming you're going to step up capital returns above the 50% this time next year on the basis of the current market environment?
Mauricio Ortiz: Well, I will start saying that, first of all, you need to look at our capital allocation framework. We follow that with a strong discipline, and that is the backbone of all our financial decisions. So looking forward in a year's time, we're going to be ramping up our projects or close to completion, mechanical completion. And for sure, we are going to be in an area different than today that we are very well advanced, but still building. And as I said, following the capital allocation framework, we are going to make the assessment and make the decisions. And in the current -- with the current balance sheet, we said that we have the strength to keep delivering returns to our shareholders in a very good way and attractive returns to our shareholders, along with creating value through developing our growth options, as Ivan mentioned.
Daniel Major: Okay. And then the second question, just thinking about opportunities to unlock value in the portfolio, 2 areas. At what stage might you be able to consider unlocking value from the infrastructure, the desal, et cetera, at Los Pelambres? And then the second is a big streaming transaction announced overnight, which seems a pretty attractive valuation for the seller. Have you considered options ever to stream any of the gold at Centinela?
Iván Herrera: Yes. On the infrastructure, I mean, I think we initiated a significant step in divesting the water system at Centinela. And I think that's proved successful so far. We've done some of the transmission lines at most of our operations as well. And we will continue to look at those opportunities. I think in the case of Pelambres, we managed to arrange a structured finance, which gave us basically long-term funding by placing the water assets in a separate unit. Now will we go with the further step of actually considering, for example, divesting and following a similar model. I think we have the flexibility to look into that. We want to finish first the construction, and that will take us to 2027. So we wouldn't be doing that ahead of then. And because we don't want any disturbance or change of hands as we finish construction, but that flexibility remains. We're, in fact, encouraged by what we're seeing in terms of others taking up infrastructure and how they're able to operate and deliver good outcomes. In terms of streaming, I think generally, we've taken the view that we like the exposure or to retain the full exposure to the resources of byproducts that we have in the ground. I mean they make a very significant feature of the cost position of both Pelambres and Centinela, moly at Pelambres and gold at Centinela. And so keeping the full loan exposure to what can be undeveloped resource potentials, we think it's important. Some of that typically gets forgone in some of these transactions. And the other one is obviously the spot price. So we've looked at some of these possibilities, but we've sort of landed in our analysis that we have a strong preference to keep that exposure, which has served us well. If you look at our costs, for example, we were at $1.19 net cash cost. That's a 27% reduction compared to last year. We have almost $1.35 or $1.40 in terms of credits and therefore, believe that is a very significant attribute that we want to keep. So we will continue to assess them. But in our equation, we think it's better served our interest to keep exposed given also the strong balance sheet that we have.
Unknown Executive: Jason?
Jason Fairclough: Jason Fairclough, Bank of America. Just a bit of a question on growth. So you've got a great growth pipeline, an enviable growth pipeline coming through right now. Before this, we went through quite a long period of plateauing, right? So I guess my question is, how do you think about sequencing the next generation of projects to make sure that we don't get a big period of plateau after 2028. I think Mauricio, you and I have talked about this, like why does it take so long to make decisions and approve projects?
Iván Herrera: Yes, these are large investments. And I mean, I think we -- our focus now obviously is in finishing the big projects that we're building now. If we hit them on budget and on time, it is as they are progressing, it will be a big value delivery for the company. Now we are, however, and we did show a specific chart this time where we're trying to show other options that we're looking at so to bring that conversation forward. And I would like to point a few things there. We've got, obviously, the projects under construction at the very far right. But then we've got some other alternatives that are in advanced studies. And the Pelambres mine life extension is very important. That has the potential to bring close to 1 billion tonnes of resources into reserves. We're making good progress on that permit, and we think that we will get that early '27 or maybe even before. We've got -- on the cathodes, I mentioned that in the case of cathodes, we are seeing opportunities in the Centinela district of bringing some satellite deposits that we've identified, which we know well and which we can actually action quickly and therefore, we would expect to be able to share more with you of that in the course of this year because we're making good progress there to be able to advance some of the alternatives, one specifically, which looks quite interesting, which is called Polo Sur. And then further down, I mean, we're looking at expanding the current plant. And then we want to make progress this year different in nature at Cachorro specifically because we're looking -- we finished a scope study there. We think there's a method under which we can extract the ore and use some of the infrastructure which exists today. Initially, we thought it would be a good idea maybe to combine it with Centinela and provide some of the input into Centinela, so we don't have to build infrastructure. But now what we're seeing is that it may be even more attractive to do it in Antucoya because Antucoya has also a primary ore body, which could benefit from the installation of some milling capacity. So that is the thinking that we have around some of the options in the pipeline. And we're very keen on -- to the extent that we use existing infrastructure, being able to accelerate the decision cycles around them, keeping the discipline on our capital allocation.
Jason Fairclough: Just going to follow up, Ivan, if that's okay. So you're delivering 30% volume growth from here through 2028. How long is it going to take you to deliver another 30% on top of that?
Iván Herrera: When these projects are further advanced, we'll share that to you. But the 30% increase, by the way, we expect the first year that we will be running fully at design capacity will be 2029, just to clarify that. But look, I think this is -- it's a great pipeline. I think we -- I would say the building or construction of a second concentrator like Centinela gives us added flexibility, which we don't have today to bring in some deposits, which can either improve grades or bring forward some of our mining opportunities. The scale of what we're doing today is slightly different. And therefore, obviously, the time it took to mature these alternatives was longer. But we're also seeing the benefit of the execution that we're getting out of them because there were projects that we had firmed up very well, both in terms of geology, engineering and the like. So there is a trade-off there. But look, we've got a pipeline. We're working on them, and we've got some interesting alternatives that we're going to try to bring to play soon.
Ian Rossouw: A question from Ian Rossouw from Barclays. A few questions. Firstly, just on -- you talked about the options around extending the life at Centinela Cathodes. Some of your peers have talked about sort of opportunities for synergies in the region. I guess some of the other operations have large oxide stockpiles. Have you considered sort of discussing with them optionality around processing -- using infrastructure in the region to process some of these stockpiles? And then second question for Mauricio. Just on the balance sheet, you've obviously built up quite a bit of, I guess, in sort of follow-on from Dan's question, you've built up quite a bit of cash balances at some of the operations like Pelambres. Do you expect to pay out some of those in minority dividends or dividend it up? And just thinking about a cash flow perspective, what should we expect in the first half of this year? And then likewise, just on working capital, obviously, you've had quite a bit of a build as those receivables come down. Just how you think about that into this year?
Iván Herrera: Okay. So on the cathodes at Centinela, we've had from time to time, have had conversations around opportunities that others may provide because of stockpilings that they may have. I, however, focus, and that's something that we -- it's become clear, I would say, over the last year or so that the opportunity that we have, in fact, to mine and produce from our own sources is economically, obviously, the most attractive because we retain the full rent out of being able to do so. And we've got 2 main strands there at work. I mean one is these deposits, which -- one of them in particular, which we know well and which has oxides of attractive grades at or close to surface and which we're actually advancing now, I mean, in terms of understanding how quickly we could mine. And we think that actually this could be something that we could develop in the midterm. So that's the priority. And the other one is Cuprochlor. I mean, I think in the case of Centinela, we're looking at our ability to be able to also fill the tank house by way of using Cuprochlor in lower grade stockpiles that we own currently. So I think third parties may be interesting -- providing interesting options to look at. But in the packing order, it would seem that we have 2 other alternatives that come before.
Mauricio Ortiz: Regarding balance sheet, thank you for the question, Ian. Well, conceptually, let me describe our cash balance maybe using 3 main buckets. So the first one is we need to secure the financing. As Ivan said and we said during the presentation, we have fully financed project either from our cash balance or also undrawn facilities. So that is the first bucket included in our cash balance. So to secure the financing of our ongoing projects, Pelambres enablers, this year will be in the space of $600 million roughly. And Centinela second concentrator plus Encuentro Sulphides, it will be in a ballpark number in the space of 1.6 billion, 1.5 billion. So that is basically the main -- the first bucket. Then we have a second bucket, which is basically how we manage and diversified risk in our cash balance, which is basically how we diversified and managed risk, as I said, holding a cash buffer reserve in each of our companies for operational purposes. And third, there's additional firepower to keep delivering results to our shareholders, either minoretary or up in the Antofagasta PLC chain. So those are the 3 main concepts, and we are going to follow, as I said to Dan, our disciplined approach and following our capital allocation framework. Regarding working capital, yes, if we look at the price movement over 2025 Q4 we have a very strong price environment and that we have the happy problem to have a higher working capital because of the receivables. I will say that will normalize during the first half of the year because we have seen a much more stable price in the high $5 per pound.
Benjamin Davis: Ben Davis, RBC. Two quick questions. One, firstly, on -- obviously, we've had the change of government in Chile and a bit of confusion at the start with the Mines Minister and Economy Minister. I was just wondering, have we seen anything else coming out of this government? I know it's early days yet, but any expectations of them? And then secondly, with the permitting changes early last year, I was just wondering if you've seen any benefits for your pipeline so far?
Iván Herrera: Yes. So look, I think it's -- I mean we look positively to the change in government from the point of view of the policy decisions that they've expressed. And I think there's been a few which are interesting. One, they've indicated their willingness to reduce corporate income tax from 27% to 23% and that they would introduce that change early on that provides a relief for us temporarily because we top up with only tax, but it does potentially or could provide a benefit. The second is, they've talked about being able to provide invariability for tax going forward. And we haven't heard anything too specific yet, but that is something that will be available for investments of size in any sector, but mining included. But that is also an element which we look at with interest. And then the third one is that they have been quite keen on indicating that they're able to reduce some of the permitting complexities. And I would say different to what other governments have indicated that their focus would be mostly on actions that they can drive from an executive branch point of view and not having to go through Congress. So they believe that, I don't know, there's many regulations that can be changed or simplified. So overall, I think those are positive tailwinds that the incoming government has indicated figure high in their agenda and which we think the industry can benefit. I mean we have, as you know, the extension of mine life at Pelambres as one of the key permits that we've got in the system. It's very important for the company. We've been -- now we introduced that permit in late '24. We expect to get it in early '27. If we can bring that forward, certainly, that would be a positive. It's significant from the point of view of the reserves that we're able to bring into our balance. And therefore, we do expect to be able to get benefit of that. But those are the kind of things that they've been focusing in. So good -- it seems incoming ideas to act quickly on those fronts.
Matthew Greene: It's Matt Greene at Goldman Sachs. If I could just comment on Slide 19, the bubble time line chart. You're showing the Centinela second concentrator expansion as being behind the Pelambres growth project. It's an early-stage study yet you're building a concentrator, it's fully permitted. When I look across all those bubbles there in terms of your brownfield projects, I mean that's the only one really that I think delivers incremental growth. I appreciate Los Pelambres unlocked reserves, but it's really an extension of that mine life. So how are you thinking about -- I mean, what are you studying on that Centinela concentrate expansion? Is there any scope to potentially accelerate that given you don't have to demobilize your crew? And yes, just kind of how are you thinking about that?
Iván Herrera: Yes. And just to clarify, I mean, the Centinela, the Pelambres development, I mean, that does eventually provide increased throughput as well because that's sort of embedded into the permit. So we could fast forward that incremental throughput getting the permit earlier than the extension. So there's growth potential there. Now in terms of the Centinela second concentrator, yes, what we've concluded is that it's not an overly complex project. And therefore, we've got it in the phase in which we're doing an update to the engineering, not overly complex and to a large extent, as you witnessed those that visited the footprint of the current plan will allow that to happen fairly quickly. So we think we can move that faster. Now I think our focus is on finishing what we're building today. So we don't want to lose that focus. But that optionality remains. We can accelerate that if we want to. And that's something that -- the work that it's been done today will enable us to do if we chose to do it once we are further advanced with construction, which is quite imminent. I mean we expect to be doing commissioning next year.
Matthew Greene: And if I could just have a follow-on just on your TC/RCs, you set the benchmark with some of these smelters at 0 is what's reported to. What's your share of 2026 concentrate sales? How should we think about in terms of benchmark and spot? And perhaps in terms of your unit cost guidance, what have you budgeted for TC/RCs?
Iván Herrera: Yes. I would say, I mean, without being too specific on those commercial arrangements. But I mean, generally, around 70% to 80% of our contracts are term contracts and the balance being a spot, so volume-wise. So therefore, that's the percentage that would be under benchmark terms. Now there is a staggered structure. So therefore, you need to consider that. So that's on the TC/RCs. And in terms of cents per pound, we're -- we're probably, I don't know, around -- it's around $0.15 per pound. It used to be close to [indiscernible] or more, but -- sorry, that includes all marketing costs. Now not separating. So that includes treatment and refining charges, freight and other marketing activities. But we've certainly seen a benefit. And we're probably thinking of around $0.15 per pound for all marketing costs.
Ioannis Masvoulas: Ioannis Masvoulas from Morgan Stanley. Two questions left from my side. The first, if we look at the Antofagasta share price, clearly, the market has rewarded your consistent performance with a premium valuation to some of your peers and perhaps your historical levels. Do you see this as an opportunity in time to look at inorganic growth options? And if so, would you consider looking outside Chile and potentially even outside Latin America? And then second question, going back to your organic growth optionality. Could you provide an update on how you feel about Zaldivar in terms of the water sourcing solution from 2028 onwards and implications for CapEx depending on the options?
Iván Herrera: Yes. So I would say that the -- I mean we feel that we have been working consistently on the delivery of our strategy. And I would echo what you say in terms of, I think that's part of what's reflected in the share price, and that's a positive. Now the simple answer to your question is, we have a strategy which is not dependent on M&A, and we've talked about this in the past. If there are opportunities, we would look at them. There's nothing specific to comment at this stage. But obviously, we feel that we are in the commodity of choice. Copper is a preferred commodity, generally one that all miners are looking to hold. And second, that having a solid valuation does provide more ample opportunities. So we will look at them, but in that context. Zaldivar, we have -- I mean, the way we look at Zaldivar, we have an asset strategy in place, which takes us essentially to operate until 2051, and that includes the mine plan and the permit and the development of the primary resource there. And I think this was an asset and just for recollection, that when we purchased was going to be closed in 2025. And therefore, what we think forward is that we still have a resource base, which is significant, which gives us exposure to higher copper prices when they happen and also to the ability to develop this over time beyond 2025. Now the water solution that we have in place takes us to 2028. And we are, therefore, going to make a decision on the new water solution this year. In the first half, we will make a decision. And this is likely to -- well, involve the construction of a pipeline and most probably drawing from water from alternative sources and not from the sea directly, which we think is cheaper from the point of view of the water and the CapEx involved. We are very well advanced with that. We have been working for several -- a couple of years in this. So we expect that to happen in the first half of 2026, and then we will share the parameters around that decision. But I think that essentially derisks water supply for Zaldivar until 2051. So it provides the full run -- runway to be able to develop the primary sulfide and continue to implement the strategy that we have there.
Unknown Executive: Any other question from the room? Chris?
Christopher LaFemina: It's Chris LaFemina from Jefferies. Ivan, you mentioned that the changing landscape in the U.S. has made you more optimistic about Twin Metals. We're hearing from some other companies that projects are being delayed because of permit delays due to lack of people in the government to actually look at projects. And so while the headline might be that things seem to be getting better for project development, it actually seems like things are slowing down a bit. I'm wondering if you can comment on that? And are you seeing anything specifically that gives you reasons to be more optimistic? Or is it just generally with the Trump administration talking about critical minerals that makes you more optimistic that project might actually move forward?
Iván Herrera: No, I think there's a couple of specific issues. I mean, one of them, in the area in Minnesota, towards the end of the last administration, there was a withdrawal pass, which would essentially hinder mining from being done in a very significant area. There are actions underway to be able to reverse that, which are quite concrete. And therefore, that is positive. Now we're not impacted by that directly because our rights preceded that withdrawal. But nevertheless, that is impacting the whole area and therefore, makes things more challenging. But there are actions which are quite specific and which have been shared recently, which involved reversing that. And it seems that that's now going to Congress, and it's going to happen. So that's good. That's specific. It's -- and the other one is we've been working on getting our leases back. And I'm positive about those discussions and where they're going. So it relates to that specifically. We also have seen, and this is the third element that I will place is that when permitting is required, there is an option for some projects depending on the eligibility that they may or may not have to follow some special corridor of permitting, which is named FAST-41, which wasn't available before for mining. This was essentially available for infrastructure projects before. So that may be another interesting development, and we've seen actually mining projects follow that route. So those 3 things are the ones that we find positive, and we expect to see more of that, specifically in 2026 come to fruition.
Cody Hayden: Cody Hayden from Deutsche Bank. Two questions, if I may. First, just on labor negotiations in 2026, just given some of the kind of challenges we've seen in the region, if you could provide an update on kind of how those may progress or just any updates there would be appreciated. And then second, on Buenaventura, just wondering if you could provide a brief update on your strategy there and if there's potentially any partnership opportunities in Peru going forward?
Iván Herrera: Jason likes that topic. So on the labor negotiations, I mean, I would say, one, we -- generally, we have a good track record of being able to conclude labor negotiations successfully. Just that we finished several of them in 2025. Some of them were more complex than others, but included Pelambres and Zaldivar. Now in 2026, we've got 3 in Centinela and we've got 1 in Zaldivar. And I think we are approaching them in the same way that we've done others before. Obviously, we have a concentration at Centinela, which we want to try to manage by means of sequencing them correctly. So we have, from that point of view to work on that. But we are positive. I think with Centinela, Centinela has been delivering good results. It's expanding. There's a good story. There's opportunities for people. So we have a very good engagement with our labor unions there. And I think a good platform to reach a solid agreement. So we've seen -- I mean, obviously, with this price environment, these negotiations become a bit more challenging. And -- but I think the fact that we've built strong relationships over time does make a big difference. And some of the strikes that you've seen recently in Chile, probably start from a very different point with respect to where the relationship had been and sort of the background. So I don't think they make a good example for what we are seeing in our case. Now in the case of Buenaventura, look, we -- obviously, Buenaventura has done well since we went in there. I mean, obviously, they've had a good benefit from metal prices, but also they've increased production significantly in some areas, silver being one of them from Yumpag. And what we're seeing is obviously an interested is in the prospect of both developing some of the base metals projects in the copper space. And we continue to work with them in that space. But we do that through engaging at the Board level and with the management of the company and conveying our views. And I think we're making good progress there, but that belongs to that space. And then the other thing I would mention, I mean, Buenaventura is about to start production from a new gold operation, San Gabriel. And therefore, that will hit the market at the right time, probably from the point of view of sort of price environment. So it will be generating cash from gold and silver at the right time. And on the other hand, we think we need to -- or have the opportunity to continue to work on some of the base metals opportunities.
Patrick Jones: Patrick Jones, JPMorgan. Just maybe 2 questions. Firstly, on the Los Pelambres side, you mentioned you think that the environmental impact approval could come sometime early next year. Could we see FID on that then sometime in '27 as well and then serious CapEx starting to be spent by '28?
Iván Herrera: We're still studying that. But obviously, that would be something that could be attractive, yes.
Patrick Jones: And just on Antucoya as well, you mentioned the opportunity to potentially have a mill there and the hypogene project is, obviously, one of the bubbles in the chart and the potential to tie that in potentially with Cachorro. Can you kind of talk a little bit what that could look like? Because I think you still have nearly 20 years of reserve life there at the SX-EW?
Iván Herrera: Yes. Yes. We have 20 years at the SX-EW. But we think that we could probably use some of the crushing capacity to be able to dedicate that to a separate line, which would include passing sulfides combined with the higher-grade sulfides coming from Cachorro to be able to feed a mill line. And the reason being is because in the case of Antucoya, the crushing circuit is very big. It's 100,000 tonnes per day. So it's unusually big for a cathode operation. And therefore, you could have a 30,000 tonnes a day ball mill, which could eventually complement the configuration and production that we have today and increase the sort of average grade that we get and increase recoveries. So this is all sort of, I would say, blue sky thinking, but that's what it's sort of coming to mind because Antucoya is closer to Cachorro. I mean we are closer from the point of view of distance. We're testing some of the more efficient transport alternatives like road train and eventually some form of rail lightweight alternative. But if that becomes attractive, then we could be able to at least pivot one of these options with Antucoya. Now timing-wise, we still would have to think that in detail. But remember that Antucoya today is processing 0.3% trade. So if we could -- and Cachorro has what 1.3. So yes, it's further down. It's underground. But if we could move some of that, then the grade differential is quite significant. And we've got the big crushing circuit, which is operating extremely well and very reliably. I mean we've hit very significant and consistently good rates at Antucoya, slightly beyond capacity now for 3 years. So that is the sort of optionality that, that can provide.
Unknown Executive: I will now hand over to the moderator if we have questions online.
Operator: [Operator Instructions] Our first question comes from William [indiscernible]. [Operator Instructions] As we have no further questions, this concludes the Q&A session. I will now hand back to management for closing remarks.
Unknown Executive: And we hand over to Jason for another question.
Jason Fairclough: So in the past, we've talked about this giant resource on the other side of the border from Los Pelambres. And a few of us were down in Argentina in December and Salta seems to be booming with mining projects. So I guess my question is, are you losing people to Argentina?
Iván Herrera: Not -- no, I would say at this stage.
Jason Fairclough: Not yet?
Iván Herrera: Well, we work a lot to attract and retain our talent. And therefore -- yes, we haven't seen that so far. But Pelambres especially, which is close to that area, I think has very favorable conditions for work, both in terms of roster proximity and the like. So yes, and we provide a very challenging and rewarding environment. So we will fight that battle.
Unknown Executive: Thank you. And with that, I will hand over to Ivan.
Iván Herrera: Yes. So thank you very much for coming here and for your questions. I hope that we're able over the next couple of days to answer any other residual query. But just to summarize, I think we've released a strong set of financial results. We had a good year from a financial performance, record in EBITDA. And we continue to, I think, perform and deliver our strategy. Our projects are going well. You were able to see them directly in November. Centinela second concentrator finished the year with a progress, which is slightly above 70%. So we really look forward to completing those projects soon and being able to increase production by the 30% that we've been working at. So thank you for coming.